Operator: Good day and welcome to the Q2 2022 Fulgent Genetics Earnings Conference Call. As reminder, today's call is being recorded.  At this time, I would like to turn the conference over to Nicole Borsje. Please go ahead, ma’am.
Nicole Borsje: Great, thanks. Good afternoon and welcome to the Fulgent Genetics second quarter 2022 financial results conference call. On the call today are Ming Hsieh, Chief Executive Officer; Paul Kim, Chief Financial Officer; Dr. Larry Weiss, Chief Medical Officer; and Brandon Perthuis, Chief Commercial Officer. The company's press release discussing its financial results is available in the Investor Relations section of the company's website, fulgentgenetics.com. An audio replay of this call will be available shortly after the call concludes. Please visit the Investor Relations section of the company's website to access the audio replay.  Management's prepared remarks and answers to your questions on today's call will contain forward-looking statements. These forward-looking statements represent management's estimates based on current views and assumptions, which may prove to be incorrect. As a result, matters discussed in any forward-looking statements are subject to risks, uncertainties, and changes in circumstances that may cause actual results to differ from those described in the forward-looking statements. The company assumes no obligation to update any of the forward-looking statements it may make today to reflect actual results or changes in expectations. Listeners should not rely on any forward-looking statements as predictions of future events, and should listen to management's remarks today with the understanding that actual events, including the company's actual future results, may be materially different and what is described in or implied by these forward-looking statements. Please review the more detailed discussions related to these forward-looking statements, including the discussions of some risk factors that may cause results to differ from those described in forward-looking statements contained in the company's filings with the Securities and Exchange Commission, including the previously filed 10-K for the year ended December 31, 2021, which is available on the company's Investor Relations website. Management's prepared remarks, including discussions of earnings and earnings per share, contain financial measures not prepared in accordance with accounting principles generally accepted in the United States or GAAP. Management has presented these non-GAAP financial measures because it believes they may be useful to investors for various reasons, but they should not be viewed as a substitute for, or superior to, the company's financial results prepared in accordance with GAAP. Please see the company's press release discussing its financial results for the second quarter of 2022 for more information, including the description of how the company calculates non-GAAP income and income per share, and a reconciliation of these financial measures to income and income per share to most directly comparable GAAP financial measures. With that, I'd now like to turn the call over to Ming.
Ming Hsieh: Thank you very much, Nicole. Good afternoon. And thank you for joining our call today to discuss our second quarter 2022 results.  We had a very good quarter as we continue to focus on execution and approval of our core business. I'll cover some highlights on the quarter before turning the call to over our Chief Commercial Officer, Brandon Perthuis, to discuss product and go-to-market updates. Then Dr. Larry Weiss will provide an update on our CSI expansion strategy. Finally, Paul will cover our financial results and the outlook in detail.  Taking a look at the second quarter where the revenue of $125 million was in line with our guidance. However, outperformance in our core business offset some softness in COVID-19 revenue, which we view as a net positive. We delivered over 1.3 million tests in the quarter, down about the 14% compared to Q2 of last year. The decline in the test volume and the revenue is directly tied to the slowdown in COVID-19 testing, which came down materially relative to Q1 and the highs of 2021.  Paul will cover the breakout between our core and the COVID-19 business in more detail. But on a high level, our core business grew over 100% year-over-year to $45.3 million, ahead of our guidance of $40 million. We continue to drive positive EBITDA and cash flow. Despite our increasing investments and generated $0.37 per share in GAAP EPS and $11.1 million in operating cash flow in the quarter.  The second quarter was marked by successful acquisition of Inform Diagnostics which closed in late April. Our team has been working diligently on a smooth integration of Inform Diagnostics businesses into Fulgent's platform. Brandon will cover this transition in more detail, although we are pleased with the early momentum we are seeing across the business.  The platform we have built with Inform Diagnostics and the CSI marks us uniquely suited to deliver a full suite of genomic testing capabilities to our biopharma clients. We have been building this sequencing as a service business over the last few years, and we see meaningful opportunity to continue expanding in operation in the years ahead.  As a part of this effort, we brought on Dr. Gina Wallar from NeoGenomics, where she ran their pharma services division. We are excited to welcome Gina to the Fulgent team, and continue to have a great momentum in attracting top industry talent to Fulgent as we further build on our capabilities and the footprints as a one-stop genomic testing platform.  To that end, we're also pleased to announce the appointment of two new members to our board of directors, Dr. Michael Nohaile and Dr. Leonard Post joined our board as of August 1, 2022. Dr. Nohaile is a highly respected scientist with extensive operational and R&D experience in both genetics and new drug discovery, coupled with a strong background in corporate strategy. Prior to his permanent role as CSO of Generate Biomedicines, Dr. Nohaile had various roles of increasing responsibility at Amgen where often he oversaw a $4 billion R&D budget across multiple divisions. Dr. Post is an esteemed therapeutics industry veteran who has had board and advisory positions at multiple privately held [Technical Difficulty] across the genetic and therapeutic industry.  The addition of Dr. Nohaile and Dr. Post to our board [Technical Difficulty] relationships across the pharmaceutical and biotech industry. [Technical Difficulty] as we expand further into the therapeutics opportunities in future. Their commitment to Fulgent is also a testament to the industry's increasing recognition of Fulgent as a respected contender in the genomic testing landscape.  As we continue to build up our genomic testing capabilities to offer more comprehensive suite of services for customers, we also recognize our ability to apply our learning and expertise in NGS and genomics to the therapeutics industry. We see a number of opportunities to drive better treatment and patient outcomes, leveraging a combination of our advanced testing capabilities and the biopharma relationship, which have continued to expand in recent quarters. We look forward to seeing more of this initiative in the quarters ahead.  Overall, I'm very proud of business that we have built and our team's ability to opportunistically execute to expand our business during a time that others in the industry are facing challenges and are paring back on operations.  We have consistently run Fulgent with a focus on efficiency and responsible, thoughtful investment. And this strategy has paid off meaningfully through the COVID-19 pandemic.  Our philosophy has not changed and we plan to drive long-term growth, profitability, leveraging our differentiated technology platform. We are excited to find the opportunity that lay ahead of Fulgent.  I will now turn over the call to Brandon Perthuis, our Chief Commercial Officer.
Brandon Perthuis : Thanks, Ming. During the second quarter, we continue to execute on our post COVID-19 strategy of becoming a national one-stop shop for clinicians across a wide variety of specialties, including oncologists, hematologists, pathologists, pediatricians, neurologists, reproductive health clinicians, and more.  We have also taken big steps to expand our sales team and capabilities around pharma services, historically referred to as our sequencing as a service business, which has been an impressive growth driver for us over the past couple of years.  Starting first with our recent acquisition of Informed Diagnostics. The integration is going well and nearing full completion. We have right-sized the company and tapped into synergies across the organization including leadership, IT, sales and operations.  We have also launched multiple projects to leverage commercial synergies and cross selling capabilities, including marketing adult neurogenetics to the vast neurology client base at Informed Diagnostics and selling HelioLiver to our GI client base. We have additional services we will be launching that will be targeted at the large national Informed Diagnostics client base.  In regards to the sales team and go-to-market, we have identified multiple expansion territories where Informed Diagnostics has not had a historical sales presence, but has all the right managed care contracts to be successful. We are actively recruiting these positions and plan to fill them in the third quarter.  Leveraging test menus, teams and technology from our recent acquisitions, we are excited to announce the formal launch of Fulgent Oncology. By combining the power of our recent strategic acquisitions of CSI Laboratories and Informed Diagnostics, along with our NGS technology and world class bioinformatics team, this new division will be focused on penetrating the dynamic market of precision medicine.  We have assembled the initial sales team, recruiting experienced oncology sales executives, along with an experienced industry commercial leader with a proven track record of success, Patty Murphy. Patty has spent most of her career in the oncology division of one of the largest national labs in the United States and brings with her a wealth of industry knowledge.  Larry will discuss our Fulgent Oncology product launches momentarily.  We're also excited to announce that we are investing in our pharma services division, as we intend to be the go-to lab for pharma for all their laboratory research and clinical trial needs. Fulgent offers a breath [Technical Difficulty] including our complete NGS offering as well as other cutting edge technologies, such as our proteomics and spatial genomics that serve a wide range of therapeutic research areas, including cardiovascular, immunology and neurosciences.  With our recent acquisition of Informed Diagnostics and our new state-of-the-art CAP/CLIA lab in Del Monte California, we intend to round out our oncology offering with customized testing services across all platforms, which include multiplex immunofluorescence and image analysis services.  Alongside our ability to provide technologies for research, we can also offer pathways for customers seeking FDA approval for the companion diagnostics on any modality from immunohistochemistry stains to NGS panel.  With the clinical offering at Fulgent, we believe our ability to take products from early stage development to commercialization will be an exciting offering to our pharmacy services clients.  Switching to HelioLiver, the soft launch is going quite well. And we have now onboarded over 75 new clients, and we continue to build a robust funnel of new opportunities.  We announced in early July that the AMA has issued a new Category 1 proprietary laboratory analysis CPT code for HelioLiver, enabling a reimbursement pathway for potential increased access and broader adoption of innovative surveillance tests for liver cancer in the United States. The code will be effective starting October 1, 2022.  With our much expanded expertise and market access, we will begin to approach payers with a technical, outcome and healthcare economic data we have gathered to show HelioLiver to be a very important test in the detection and fight of liver cancer.  We're also happy to announce that the primary enrollment in the CLIMB study is wrapping up this month. CLIMB is a 1600-patient prospective clinical trial designed to evaluate the performance of HelioLiver and ultrasound using gold standard multiphasic MRI as a clinical truth. The study takes all comers who are at high risk to hepatocellular carcinoma due to liver cirrhosis. CLIMB is designed to be the gold standard in clinical evidence to support the clinical performance of HelioLiver. To our knowledge, a large scale prospective study such as this has not been completed in the liver cancer diagnostic space, as most of the studies are case controlled.  While we feel we are executing on our go-to-market strategy, we have identified some challenges slowing market adoption. One of these challenges has been access to phlebotomists and patient draw centers. However, we have just executed a collaboration with Quest Diagnostics, and patients will now be able to have their blood drawn at their patient service centers across the United States.  Another issue was a lack of a CPT code, which has now been addressed. While we have been using the unlisted molecular pathology code, this code creates extra work for everyone. And we hope the new CPT code makes this process easier for customers and drives faster adoption.  The Fulgent sales team continues to expand and is much larger and diverse than ever before, with a broader geographic footprint and deeper expertise across different areas of genomics. We currently sit at 47 individuals across the United States with approximately 10 open positions. We have been able to recruit some amazing talent that we believe will contribute meaningfully to our growth for years to come.  Switching to infectious disease. While COVID-19 volume is trending down, we continue to process a meaningful number of tests. Additionally, we are pleased to announce that we've been awarded a new contract from New York City Health and Hospitals for surge testing. COVID-19 testing demand is hard to predict. But should there be a need in the fall, we will be ready to help New York City.  The remainder of our COVID-19 business is running well and volumes will be tied to the overall positivity rate, number of cases and demand for screening.  We announced this morning we are launching a PCR test for the detection of monkey pox. We are pleased to further demonstrate our operational excellence with this launch, bringing new products to market rapidly, especially in the face of health crises. While demand is hard to predict, we want our clients to know, especially our large county clients, that we have a test available.  In addition, antiviral medication for monkey pox is available. However, clinicians want to see a positive report before prescribing. Thus the test is used in some manner as a companion diagnostic. We will stay in close contact with our clients on this new health crisis and update our investment community as needed.  [Technical Difficulty] our Chief Medical Officer, Dr. Larry Weiss. Larry?
Lawrence Weiss : Thanks, Brandon. We have made exciting progress on our oncology initiative on a number of fronts. First, we can declare our CSI integration accomplished and a complete success. You may recall that we acquired [Technical Difficulty] in our first serious move into oncology diagnostics. CSI was a major regional player in the pathology oncology space with a great reputation for high service levels, but was not really growing.  With the integration into Fulgent's platform, CSI is now set on a path of becoming a formidable player on a national basis. We've injected new capital and expanded the sales team and its geographic reach, again, leveraging CSI service excellence, and we are successfully attracting new clients.  We've also been very pleased with the contributions that the CSI team has made to our integrated business. They have an extremely talented team across their employee base, and we have been leveraging these individuals to help manage the more recent acquisition of Informed Diagnostics.  With the CSI integration essentially complete, we are turning our attention and resources to the integration of Informed Diagnostics, leveraging a similar playbook. Informed Diagnostics expands our opportunity within our client base, opening up new cross selling avenues, expanding our footprint in oncology testing with their hematology/oncology business line, and enhancing our interest in digital pathology.  We believe, as others do, that digital pathology has the potential to transform the practice of anatomic pathology. We're in the early stages of the integration, but we have already identified numerous opportunities for cost synergies and other opportunities to upgrade their technology and systems. For example, we're replacing their eight color flow cytometry with state-of-the-art 10 color flow capabilities.  As Brandon mentioned, we are excited to announce the launch of Fulgent Oncology, including a suite of oncology specialty testing products under the brand name Lumera. Our flagship profile [indiscernible] NGS for solid tumor, a powerful profile of 523 genes, encompassing both DNA and RNA methodologies and including MSI and TMB gene signatures will provide first, second and third line therapy guidance as well as clinical trials and immunotherapy eligibility guidance. And this assay can be easily combined with an extensive menu of immunohistochemical assays such as PD-L1 or HER2 as well as appropriate FISH studies.  By combining multiple testing disciplines and expert pathology review and the power of NGS technology with AI driven analytics, we aim to revolutionize the term personalized diagnostics.  Our Lumera suite of products will soon include a complete suite of hematopathology services, including a powerful hem NGS profile, a best-in-class ctDNA liquid biopsy for solid tumor assay release, as well as HRD testing for PARP inhibitor eligibility, among other specialty assays and profiles.  Fulgent Oncology's aim is to become the premier boutique, single source provider laboratory for oncology specialty testing in the community oncology space.  Lumera XP NGS for solid tumor was launched in July 2022. And the Lumera comprehensive hematology evaluation will follow very shortly. We anticipate additional product launches under the Lumera brand in Q4 2022. I will now turn the call over to our Chief Financial Officer, Paul Kim. Paul?
Paul Kim : Thanks, Larry. Revenue in the second quarter totaled $125 million compared to $154 million in the second quarter of 2021, in line with our overall guidance of approximately $125 million.  As Ming mentioned, [Technical Difficulty] COVID testing business continue to moderate, which we view as a net positive and in line with our long term strategy.  Billable tests in the quarter totaled 1.3 million compared to 1.6 million in Q2 of last year. The year-over-year decline was again due to COVID testing dynamics. Breaking down revenue a bit further, roughly $80 million came from COVID-19 testing in Q2 compared to our guidance of $85 million. Revenue from our core business totaled $45 million which exceeded our guidance of $40 million and grew 102% year-over-year. As a reminder, our core revenue includes our NGS business, contribution from our Chinese JV, CSI and Informed Diagnostics, and excludes NGS COVID testing from the CDC. As demand for COVID PCR testing remains volatile, and generally trending lower, we continue to take a conservative stance on expected revenue from COVID testing. We remain focused on executing on our post COVID growth opportunities, which include the integration of Informed Diagnostics, expanding the reach of CSI's capabilities, executing on additional investment and partnership opportunities, ongoing work with Helio and joint commercialization opportunities, and growing the footprint from our China operations.  Our ASP in the second quarter was $94, slightly low lower than the $99 we saw in the first quarter of 2022. Our ASP has fluctuated along with a mix of COVID testing, and this quarter we saw an outsize impact from lower ASP on COVID tests due to pricing changes in the market.  Cost per test in the quarter was $45 versus $24 in the first quarter of 2022 due to largely shifting mix away from COVID testing to more of our core testing, including testing from Informed Diagnostics. As a reminder, cost per test in our core portfolio is generally above $200. So, as COVID testing continues to decline, the average cost per test will increase to more normalized levels for our core genetic testing portfolio. Gross margin was 52.1%, down 25 percentage points year-over-year and down 24 percentage points sequentially. The reduction in gross margin was again due to testing mix, including higher costs associated with our core genetic testing portfolio, including testing from informed diagnostics. As a reference point, gross margin in 2019, our last year before ramping COVID testing, was approximately 50% plus, which is a more realistic long term target for our core business. We also are in the process of investing in our operations, while digesting acquisitions and plan to enhance automation and efficiency in our overall cost structure in the future.  Turning to operating expenses. Total GAAP operating expenses were $52.5 million in the second quarter, up from $40.6 million in the first quarter of 2020. Non-GAAP operating expenses totaled $37.1 million, up from $35.6 million last quarter. Our operating expenses increased mostly in G&A due to ongoing investments and strategic headcount across our organization, fees on services associated with our heightened M&A activity, including additional operating expenses under Informed Diagnostics.  Non-GAAP operating margin decreased 41 percentage points sequentially to 24.3%. While the expense structure of our legacy Fulgent business remains lean, we have incurred a number of incremental expenses that's part of our recent acquisitions, as expected.  We have made significant investments in people, infrastructure and operations to support our growth. And these investments are putting pressure on our operating margins in the near term. We remain confident that these investments will translate into demonstratable ROI and drive outsized future growth in our core business.  At the same time, we're pleased to report [Technical Difficulty] will still generate positive EBITDA and cash flow during this transformative time for our business.  Adjusted EBITDA in the second quarter was $37.7 million compared to $105 million in the second quarter of 2021. On a non-GAAP basis, and excluding stock-based compensation expense, intangible asset amortization and restructuring, costs and acquisition costs related [Technical Difficulty] income for the quarter was [Technical Difficulty] or $0.78 per diluted share based on 31.2 million weighted average diluted shares outstanding. Turning to the balance sheet, we ended the second quarter with approximately [Technical Difficulty] marketable securities. We generated $11.1 million of cash from operations during the quarter despite the significant investments we made in our business during the quarter.  I would also like to highlight that we were active with our share repurchase program in the second quarter. We repurchased over 215,000 shares of our common stock for an aggregate cost of $10.6 million and an average price of $49.05 under the stock repurchase program announced in March. As of June 30, 2022, a total of approximately 239.4 million remains available for future repurchase of our common stock under the stock purchase program.  Now moving on to our outlook for 2022. Starting with COVID revenue. As demand for COVID testing continues to taper off, we expect to see ongoing declines in our revenue from COVID testing. Our expectations for COVID revenue for the full year remain unchanged despite the pressure on COVID test pricing. We expect approximately $480 million in COVID revenues for the year, inclusive of the [Technical Difficulty]. This breaks out into roughly $51 million to $54 million in each Q3 and Q4. Clearly, revenue from COVID testing has been hard to predict amidst volatile spikes and outbreaks. So, we remain prudent with our expectation for COVID revenue contribution.  Moving on to our core revenue guidance, which will include contributions from Informed Diagnostics. As the transaction closed on April 26, we expect core revenues will be approximately $185 million for 2022, representing a growth of 99% year-over-year, which takes into account outperformance we achieved in Q2 and factors some conservatism given the volatile macroenvironment.  With $480 million in COVID revenue and $185 million in core revenue, we expect total revenues will be approximately $665 million for the year. We expect there will be continued volatility with COVID testing and remain focused on executing on our strategy to drive momentum in our core business.  From a profitability standpoint, we remain focused on investing in our business to drive sustainable long term growth. That being said, we expect to see meaningful pressure on operating margins in the quarters ahead as we integrate further and invest resources in our recent acquisitions.  In addition, our conservative assumption for COVID testing demand will result in lower gross and operating margins relative to the record high margins we experienced during the COVID crisis.  Long term, our foundational technology platform supports the strong margin profile, and we will continue to manage our spending with discretion to drive operating leverage.  For full-year 2022, utilizing a 28% tax rate and share count of 32 million, we expect net non-GAAP income of approximately $6 per share for our shareholders, excluding stock-based compensation, amortization of intangible asset, restructuring costs, and acquisition costs related to Informed Diagnostics. This is consistent with our non-GAAP income guidance provided on our last call.  While the acquisition of Informed Diagnostics is accretive from an adjusted EBITDA standpoint on a standalone, we are anticipating heightened operating expenses due to integration costs associated with the transaction, aggressive investments in our organic business, such as the build out of sales to ramp on our West Coast oncology lab, as well as lower gross margins as the mix of COVID testing decreases in the coming quarters.  For the third quarter of 2022 specifically, we expect total revenues of $105 million. This breaks down into core revenues of $54 million, representing a growth of 101% year-over-year. And as I mentioned, we expect approximately $51 million in COVID testing.  The third quarter will mark a notable milestone for Fulgent to where we expect core revenues will exceed COVID revenues for the first time since the early days of the pandemic. We will also be setting a bar for our core business at a $200 million annual run rate going forward.  Our updated guidance is posted on slides on our Investor Relations website, which shows the detailed breakout I just discussed.  Thank you for joining the call today. Operator, you may now open it up for questions.
Operator: [Operator Instructions]. We'll take our first question from David Westenberg with Piper Sandler.
David Westenberg: Congrats on the Fulgent Oncology, setting it up. So, we'll have some questions on that. So, let's start with the $45 million in core revenue. That was a pretty big number. I know you don't like to break out specifics in terms of product mix, but is there any kind of testing modality you might want to call out as performing pretty well in the quarter that helps you get to that that $45 million in in core revenue? 
Paul Kim: So as we indicated when we announced the Informed acquisition, we anticipated that the contribution on a quarterly basis from Informed Dx would be approximately $22.5 million per quarter. So when we take a look at the outperformance of the core revenues, it really has to do with the beginning of the momentum that we're seeing for our core business, which includes CSI. CSI was an asset that we acquired over a year ago. And with integration of that acquisition, we're really beginning to see the momentum building that we have based on the investments that we've made in CSI combined with the investments that we made here in the West Coast.  The other part of the momentum that we're seeing in our traditional NGS business, the groundwork that we have laid out with the elevated platform of Fulgent Genetics is driving the momentum that we have in the core revenues.  Now, in terms of the testing mix of our core business, I'll turn it over to Larry and Brandon. But it's obvious to say that the mix includes NGS oncology, and that includes both NGS as well as molecular. It also includes our sequencing as a service, the biopharma business, and it also includes the revenue contribution from Informed Dx, which largely consists of GI and derm. 
Brandon Perthuis: I don't have a whole lot to add to that. We have one of the largest testing menus in the United States. So it's good to have that diversification. So it's hard to pull out any particular area that outshined the other. But as Paul mentioned, the assets we've acquired in CSI and Informed Diagnostics are meeting expectations. Fulgent Oncology didn't contribute to the revenue growth in Q2, but we think it will going forward in a meaningful way. Paul touched on our biopharma businesses, but we've taken NGS and we've scaled it across multiple different markets. And just overall, the business continues to perform well. So we will continue to invest in sales. We will continue to invest in technology platforms, and hopefully, continue the momentum into the quarters ahead.
David Westenberg: I know it's pretty tough because you've integrated these businesses and it's hard to tell what is organic at this point because you probably are getting a lot of those revenue synergies. But is there anything to frame about the prior Fulgent business in terms of growth or even if you maybe can give some excess growth relative to what you thought it would be from some of the inorganic stuff? I know Informed is probably flat at this point. Are you extracting growth out of it, for example?
Ming Hsieh: David, definitely we see the momentum from our NGS business as we add in additional capabilities. And we do see the attraction for us to provide our NGS services to some of the core [Technical Difficulty] as a premium solutions provider, quick turnaround time and complex services. And that's the area that we see our organic growth meaningfully.
David Westenberg: Let's move on to Fulgent Oncology. This is pretty exciting development for you guys. I know you have the biggest kind of menu or one of the biggest menus in the US. But in terms of oncology, are there any holes in the business? And when I'm thinking about testing categories, I covered NeoGenomics for a little while. So, I kind of think of like the flow, the IHC, the FISH, the NGS, the PCR. Do you have all of those parts of a comprehensive oncology business? And I guess we'll stop there. And I'm going to ask kind of on the sales force, how national it is in terms of handling the volumes outside of regional. But I'll ask that next iteration, sorry.
Brandon Perthuis: Yes, we can check all those boxes that you mentioned for the West Coast lab alone, let alone that CSI on the East Coast also has similar technologies, maybe without the NGS. So we have all the technologies to provide a one-stop shop for oncology services. The East Coast lab is concentrating on a pathology clientele. And as previously discussed, West Coast lab is oriented towards oncologists. As we're just starting out, we're focusing on Southern California. But we're using this as a test model and plan to go fully national in the near future.
Paul Kim: I'll just add that we check all the boxes you mentioned. In addition, we have one of the largest hereditary cancer test menus in the United States. So we really think Fulgent Oncology is something unique. We think pieces of Fulgent Oncology exist with our competitors and peers. But if you look at all of our service offerings, later on, really comprehensive hereditary cancer offerings, we think Fulgent Oncology stands out amongst our peers. 
David Westenberg: I'm going to stick with that. So, you're keeping it regional. Do you think you picked the right region? I know you guys are in Southern California yourselves. But I think about the existing structure of that kind of lab and there was a Clariant that was focused there, there was a Genoptix that was focused there. Is that a high impacted market competitively versus other parts of the country?
Brandon Perthuis: Well, we've been live now for one or two weeks. And I would say, Larry, the number of clients we've won in the first one or two weeks is well ahead of our expectation. So we think we've picked a region where we can take advantage of logistics. Turnaround time in this market is incredibly important. For some of our first clients we onboarded here recently, we're delivering turnaround times in the five to six day range when they were getting three, four weeks from their previous lab. So, again, this is just sort of our beta region. This will be a national launch, but so far, I think, commercially, from an onboarding perspective, we're well ahead of where we thought we would be.
Lawrence Weiss: We're seeing a lot of pent up demand, David.
Operator: [Operator Instructions]. And we do have a follow-up from David Westenberg. 
David Westenberg: Back to the pharma services business that you're setting up, is this pharma services business going to be mostly complementary to the oncology side of the business and specifically focused on kind of that Fulgent Oncology business?
Brandon Perthuis: Not necessarily. We think oncology is an important area [Technical Difficulty] relationships right now span a wide variety of healthcare and clinical trials, so maybe we're particularly strong in oncology, but the short answer is no. We have a multi omics approach now to our clients. Huge test menu, as we've mentioned, for our pharma services, proteomics, spatial biology, IHC, flow. So, we're ready to tackle that market on holistically.
David Westenberg: Congrats on the monkeypox assay. I'm looking at case numbers. The case numbers are still pretty low. Is this actually a revenue contributing assay? Or is this kind of just a good thing to do for kind of society as we – we don't really have that many good monkey testing options today?
Brandon Perthuis: Well, the answer is both. There is a proposed rate for the new CPT code that would be favorable to Fulgent. So, certainly, the revenue would be there. But we also want to help. We realize that testing for monkeypox has been restricted. Not a lot of options. There's been a few labs that have launched tests, and we spun this up pretty quickly, did a good thorough validation. But with our technology and platform, we were able to get this going pretty quickly. And we can leverage the COVID-19 platform we built from ordering and reporting, our barcode system, our drive thru [Technical Difficulty] we will be able to respond in a big way.
David Westenberg: Back to some of the capital deployment strategy. And I guess, this question is for Paul. You did do some stock buybacks. Is that kind of the direction you're going to take or you think you're going to take care for kind of the remainder of 2022 or near term? And then, in terms of – I know you do have commercial infrastructure that you're probably planning. And my guess is, if Fulgent Oncology winds up being a very successful business, you're probably going to allocate money for a nationwide launch. So, anyway, if you can kind of tell me how we should think about capital deployments in context of the things I just mentioned.
Paul Kim: I believe that when you have cash cushion and we have cash generation, like Fulgent, all your options are open. That said, stock buyback is one of the ways that we can indicate to the market the value that we see in our equity. But that is not the primary usage of our cash. The primary usage of our cash is, first and foremost, investing it right into our core business, to penetrate our core markets, even deeper and wider. And then I would say, also the priority is to deploy the assets for technology, as well as business acquisitions that can enhance our position.
David Westenberg: My last question here is, can you talk about COVID testing by region? And kind of what I'm getting at is, I guess COVID testing is down all over. But I think you mentioned in the past things like New York teachers, some of the stuff that's going on in Southern California. Is there still testing in those markets? Or has COVID fatigue hit even those places?
Brandon Perthuis: Dave, I think I said on the call that we're still processing a meaningful number of tests. Paul laid out our Q3 and Q4 guidance for COVID. So, a lot of those programs are still running. Some of them are winding down, some of them have winded down completely. But as we've seen before, as quickly as things wind down, they wind back up. So this is incredibly hard to predict. All we can do is calibrate our operations to adjust to these ups and downs. And should there be ups in the fall, which some people are predicting, we will be ready to respond. I don't know what more I could say beyond that.
Operator: Just going to let everyone know that there are no further questions at this time. And I would like to conclude today's teleconference. We do appreciate everyone's participation. You may now disconnect.
Brandon Perthuis: Thank you.